Operator: Good morning, and welcome to the Plymouth Industrial REIT First Quarter 2025 Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, today's event is also being recorded. I would now like to turn the conference call over to John Wilfong, Investor Relations. Sir, please go ahead.
John Wilfong: Thank you, and good morning. Welcome to the Plymouth Industrial REIT conference call to review the company's results for the first quarter of 2025. Yesterday afternoon, we issued our earnings release and posted a copy of our prepared commentary and a supplemental deck on the quarterly results section of our Investor Relations page. In addition to these earnings documents, a copy of our 10-Q can be found on the SEC filings of our IR site. Our supplemental deck includes our full year 2025 guidance, assumptions, detailed information on our operations, portfolio and balance sheet, and definitions of non-GAAP measures and reconciliations to the most comparable GAAP measures. We will reference this information in our remarks. With me today is Jeff Witherell, Chairman and Chief Executive Officer; Anthony Saladino, President and Chief Financial Officer; Jim Connolly, Executive Vice President of Asset Management; and Anne Hayward, General Counsel. I would like to point everyone to our forward-looking statements on Page 3 of our supplemental presentation and encourage you to read them carefully. They apply to statements made in this call, our press release, our prepared commentary, and in our supplemental financial information. I'll now turn the call over to Jeff.
Jeff Witherell: Thanks, John. Good morning, and thank you for joining us today. I hope that everyone had a chance to review the commentary, supplemental information we posted last night. First, I will hit a few highlights, and then, we'll go to Q&A. The first quarter of 2025 marked a strong start to the year, highlighted by record leasing activity, positive acquisition momentum, and stable core financial performance. We continue to be well-positioned to scale our platform with ample strategic capital and nearly 30% of annual rents rolling in 2025 and 2026 in markets benefiting from sequential rent growth, limited Class B supply, and favorable reshoring dynamics. We see a path for sustained internal growth and long-term value creation. On a macro level, as global supply chains adjust to the shifting geopolitical and trade landscape, we will continue to actively monitor the impact across our tenant base in target markets. We have yet to see any material interruptions across our portfolio, but we have observed an increase in short-term space requirements, primarily driven by tenants responding to inventory adjustments and shifting trade flows. Our strategic focus continues to be on acquiring and operating smaller footprint, infill industrial properties in dense supply constrained submarkets, areas where speculative development has primarily targeted large scale bulk assets. In contrast to larger warehouses, which often face longer lease-up periods and a narrower tenant base, our properties feature modular layouts and multi-tenant configurations that help mitigate binary vacancy risk and support more resilient cash flows. This flexibility enables us to adapt quickly to evolving tenant demands, including those driven by reshoring, inventory realignment and supply chain diversification. Our acquisition strategy remains focused on expanding within our existing markets. Our deal activity in the first quarter and at the end of 2024 was funded largely by the proceeds of the Sixth Street transaction. These acquisitions were located in key distribution hubs within our target markets located across The Golden Triangle. As of today, we have approximately $205 million of acquisitions under agreement representing roughly 2 million square feet at a targeted initial NOI yield of 6.50% to 6.75%. Since our June 2017 IPO, we have acquired over 32 million square feet at an average cost under $50 per square foot. Well below replacement costs, which not only provides a meaningful margin of safety, but also enhances cash flow returns and highlights our disciplined approach to capital deployment and value creation. Moving to our balance sheet. We continue to have strong liquidity with over 88% of our debt being fixed, no debt maturities in 2025 and expect to operate in the 6 times range for the balance of the year. With the upsizing of our credit facility in last year's fourth quarter, we have $415 million of availability there and with the capital secured through the Sixth Street transaction, we are well-positioned and have the critical financial flexibility to scale our platform and support long term value creation for our shareholders. Finally, we have affirmed our previously issued full year 2025 guidance for core FFO. We anticipated a bit of a muted start to the year with a stronger second half driven by the stabilization of transitory vacancies in Cleveland and St. Louis, along with the full contribution from acquisitions expected to close in the second and third quarters. I look forward to providing further updates in the coming months as we execute on our leasing and capital deployment strategies. I would now like to turn it over to the operator for questions.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Todd Thomas from KeyBanc Capital Markets. Please go ahead with your question.
Todd Thomas: Hi. Thanks. Good morning. First question, in the prepared commentary, you noted the potential three year renewal at the 624,000 square foot asset in St. Louis and the backfill prospects you're negotiating with at ODW, the 772,000 square footer in Columbus. Just in light of the current environment, how confident are you that those deals get done and have conversations changed at all over the last few weeks in light of the current environment here?
James Connolly: Yes. Regarding St. Louis, that's -- we've come to terms with -- on the renewal. It's being signed right now. So any day, three year deal. And in ODW, they have agreed to take anywhere from 280,000 square feet to 400,000 square feet back for a period of time and that 265 of it is out for signature right now.
Todd Thomas: Okay. And then, in terms of on the acceleration in growth in the back half of the year. So really strong second half in terms of increase in total NOI and portfolio occupancy. The larger St. Louis asset, I guess, is a contributor to that. You backfilled and signed the lease there, the 769,000 square foot facility, but that was removed from the same-store. Can you just walk through the key drivers behind the acceleration in the same-store growth rate later in the year, what the primary drivers are there?
Anthony Saladino: Yeah, happily. And Todd, as a point of correction that St. Louis asset is in same-store. So that is a...
Todd Thomas: Okay.
Anthony Saladino: A key contributor to the growth. But, as Jeff mentioned, we experienced a fairly moderate start to the year in the pool. That said, about 70% of $1.6 million square feet of speculative space greater than 100,000 square feet included in our guidance has now been leased. So the cadence of occupancy is the best way to illustrate the path to the full year growth. Starting -- back to Q4 2024 for this pool, occupancy was 92.2%. The lease up of this larger format space, which we just discussed, adds approximately 640 basis points of occupancy. This is going to be partially offset by a temporary 130 basis point vacancy expected in Q4, which results in a projected year end same-store occupancy of about 97.3%.
Todd Thomas: Okay. That's really helpful. Thanks and sorry about that. I appreciate the clarification on St. Louis. And then last question, just in terms of the $205 million of acquisitions under agreement, can you just remind us and run through the funding sources for those investments from here. The timing of the remaining drawdown of the $79 million preferreds, what you're anticipating there? And I guess, in terms of funding the balance, how we should think about that?
Jeff Witherell: Sure. So the funding mechanism is the line of credit. To your point, we have another $79 million to draw from the CREC preferred, which we will do so in May thinking about the impact of that drawdown, compared to current rates, there's about 125 basis point premium relative to our line. So there'll be an uptick in interest expense post draw. With respect to cadence of deployment, we identified the 200 million plus. There's probably another 150 million right behind that. So there could be some chunky deployments in the middle of the year. With tapering as we arrive at year end.
Todd Thomas: Okay. All right. Thank you.
Operator: Our next question comes from Rich Anderson from Wedbush. Please go ahead with your question.
Rich Anderson: Thank you. Good morning. Where does the buyback stack up with you on your priorities from a capital deployment standpoint today?
Anthony Saladino: So to be clear, we did not repurchase shares during Q1. Our view is that a balanced approach, deploying capital into both acquisitions and opportunistic repurchases is the best way to optimize long term shareholder value, that the repurchase math is compelling given the current market dislocation, but expanding the platform remains our priority.
Rich Anderson: Right. So, and the buyback also can just be disruptive from a balance sheet perspective. I assume if you did go that direction, it would be on a balance sheet neutral way? Is that taking -- again, taking capital from the Sixth Street transaction and just instead of portfolio expansion buyback and it would still be a balance sheet neutral transaction in your mind. Is that correct?
Anthony Saladino: It would be. And that's in part the motivation for a balanced approach to the deployment of the remaining capital.
Rich Anderson: Okay. On ODW, you said 280 to 400 and some amount is being signed now or sort of -- it's sort of had -- what was that? Was that 280 that's being -- close to being signed. Is that what you said? I missed that. I apologize.
Jeff Witherell: Yes.
Rich Anderson: 280. And you said period of time, is that like another one of those short term six months type situations or longer or shorter or how could you describe that.
Jeff Witherell: Yeah. It's through the end of the year plus into '26 with an undefined end date at this point.
Rich Anderson: And the mentality there generally and maybe specifically for that is just we don't know what's going on in front of us with tariffs, etc., and the economy. And so we're just want to -- don't want to make an overcommitment. Is that basically the commentary from your tenants?
Jeff Witherell: On that particular one, Rich, that's not the case, so.
Rich Anderson: Okay.
Jeff Witherell: They occupy the entire building. They have built out a newer campus. And so they're going through a flux of new contracts, expiring contracts, and moving to new -- to other space. So it -- that's not a tariff issue.
Rich Anderson: As I recall, they have some presence in that area. But generally speaking, is that the sort of the mentality that you're hearing?
Jeff Witherell: So yes, so in our remarks and in the commentary here, we have mentioned that there is some short-term – so a thought process going on from tenants to secure additional space, additional stocking material, so there is some dislocation. Again, we've said in here, we haven't really seen it in a significant manner across our portfolio yet.
Rich Anderson: Yeah. Okay. And last for me, you reiterated guidance. You got some acquisitions coming, maybe some more after that. What -- some of your peers are saying we would have raised guidance had it not been for some of these uncertainties ahead. Do you -- would you make the same comment or would you say guidance is good sort of try -- it sort of captures whatever might happen in the future as stands, so it's not something that you would have raised, if not for some of the questions that are out there right now, broadly, -- broadly speaking?
Anthony Saladino: I mean, I think our view is that, that's a good range. And to Jeff's point, there hasn't been a lot of static -- and just given the momentum around leasing and the success in pursuing and ultimately deploying this capital. I think we're in a good position to achieve within the range that we previously reported and recently affirmed.
Rich Anderson: Okay. Fair enough. Thanks very much.
Jeff Witherell: Thank you.
Operator: Our next question comes from Nick Thillman from Baird. Please go ahead with your question.
Nick Thillman: Good morning. I appreciate all the commentary on some of the larger tenants. Anthony, I think you mentioned 140 basis points of occupancy loss in fourth quarter. Is that related to any specific tenants or I know like as we look through the schedule, that's like the next tenant that we didn't touch on was like communications test design. Any updates there?
Anthony Saladino: I'll let Jim fill you in on that, but it is not that tenant, it is a single tenant that we anticipate is more likely than not to vacate now in November.
James Connolly: As far as CTDI, we have reached out to them about extending their lease. They -- as you know, they only get a one year renewal last time because they had a buyout in the contract which is passed. So we're looking for them to extend longer this time. The plant is very busy and they're a very good tenant.
Nick Thillman: And maybe following-up, Jeff, you kind of talked a lot about sort of the smaller tenant or smaller building multi-tenant assets and kind of the focus there on the acquisition standpoint. Is there any appetite from like a disposition side to maybe de-risk on some of these individual tenants and sell some of those assets given where the stock is trading today?
Jeff Witherell: I mean, Nick, we look at that all the time. But I don't think there's a situation of de-risking, I think we've been very clear that if you look at the St. Louis property, I mean, if you look at our basis, we bought a Class A building at $72 a square foot, that -- Unilever probably should have renewed there. They did a global a reorganization of their supply chain. You can see that we've backfilled it with a Fortune 500 global tenant and they may take some more space in there. What we're going through right now is, again, is a lot of like one year extensions or six month extensions until they figure out their supply lines. I don't really think it's -- a lot of the stuff that we've talked about is tariff related. It's really just an inflection point of groups like Unilever, you see Amazon has just made some major changes. FedEx is making some major changes. Again, I don't think a lot of that's tariff-related, quite frankly, it just seems to be that now is the time that a lot of these groups are starting to reorganize. So, we always look at assets that we believe if we can sell them and reposition them into something better, we're always looking at that. So we'll see how it goes.
Nick Thillman: No, that's very helpful. And then maybe just one last question quickly for Anthony. Any changes to sort of what you're seeing on collections or bad debt within the portfolio or changes to the watch-list?
Anthony Saladino: No, the composition in terms of count on the watch list hasn't really changed. We have 35 bps of bad debt embedded in our guidance, none of which was utilized in Q1. This compares favorably to our historical run of about 10 bps. For context, 2024 was an anomaly due to the Cleveland bankruptcies which push bad debt above 100 bps. But excluding those events, bad debt for 2024 would have been approximately 20 basis points. As of quarter end, our watch list includes five tenants. They occupy a combined 290 square feet. Their total ABR is less than 1% and in all but one of those tenants is current on rent. And so when we zoom back and make these assessments in terms of our watch list, today, we think there's a 90% plus likelihood that those tenants will stay current or make full term payments over the remaining life of their lease, which across those five tenants is about 1.5 years.
Nick Thillman: Very helpful. Thank you, guys.
Jeff Witherell: Thanks, Nick.
Operator: [Operator Instructions] Our next question comes from Mike Mueller from J.P. Morgan. Please go ahead with your question.
Michael Mueller: Yeah. Hi. So I think you said you expect at year end about 97.3% occupancy. And I guess how much of that 97.3% is this short term leasing like 170,000 in St. Louis or something that could be 36 to 90 days or something that could go away pretty quickly. So, how much of that 97.3% could kind of go away within a couple of months or something?
Jeff Witherell: Mike, I would say about 25 bps of that. But....
Michael Mueller: Okay.
Jeff Witherell: Here is the caveat. With respect to the temp fill, there's prospects that will likely absorb that space on a longer term basis. And so, we're not thinking about that space as being all that disruptive to the occupancy ramp.
Michael Mueller: Got it.
James Connolly: The 90 day out was actually added for benefit for us because we do have interest in this space longer-term. So it's for us to be able to replace them with a longer-term tenant.
Michael Mueller: Got it. Okay. And then just to clarify, that 97.3% that does reflect the 140 basis points of recapture, I think that you were talking about in November?
James Connolly: It does.
Michael Mueller: It does. Okay. And then I guess....
Jeff Witherell: It's 130 bps, just for clarification sake.
Michael Mueller: Okay. It sounds good. And then one other question. I guess, how much capacity -- I know you talked about 200 million under contract, I think another 150 million behind it. I guess what's the capacity for acquisitions after that before you get to the point where you need to start thinking about the next round of equity as being critical to fund the acquisitions. And I guess if the stock doesn't rerate, how do you approach the next batch of acquisitions once you need to start thinking about equity?
Jeff Witherell: I think beyond those tranches, there remains ample capacity, that to fund that kind of next iteration, there could be an uptick in recycling, we'll evaluate that as we deploy through the balance of this year, but we do think post that deployment, specifically as it relates to the articulation of deployment and guidance, there's still a couple of hundred million of capacity before we'd have to go back to the market.
Michael Mueller: Got it. Okay. Appreciate it. Thank you.
Jeff Witherell: Thanks, Mike.
Operator: Our next question comes from Eric Borden from BMO Capital Markets. Please go-ahead with your question.
Eric Borden: Hey. Good morning. Just going back to ODW on the space that is being leased about the one-third, can you talk about any frictional vacancy? Is there any downtime associated and do you plan or intend to split up the box and if there's any CapEx involved there?
Anthony Saladino: There may be depending on the term of the tenancy, some cost that demise, but we've had agreements with the prospects that we have in hand where we're just going to you fence off the different areas.
Eric Borden: Okay. So it would be a minimal downtime in terms of occupancy and them paying rent or would they immediately just pay rent and defense would go up rather quickly?
Anthony Saladino: The latter. We would dismiss it very quickly and they pay rent immediately.
Eric Borden: Okay. That's helpful. And then just following up on that. When would ODW be added back to the same-store pool?
Anthony Saladino: Once the space is restabilized. So it's more likely than not that they'd be added back in '26.
Eric Borden: Okay. You talked about acquisitions being your priority focus, maybe with some stock buybacks, but just curious where new development starts fit into the capital outlay. I understand that you started a smaller investment during the quarter. Just curious on your thoughts going forward for the development pool?
Jeff Witherell: Yeah, Eric. So we did start the last remaining parcel in our -- one of our parks in Jacksonville. So it's 42,000 square feet. There's a lot of demand down there. So we feel that that was a build-it and no-come situation and it's not a lot of money. So it's not a big issue for us. But we had this field contracted. It just made a lot of sense to finalize construction in that park and stabilize it. So that's what we're doing. Aside from there, I mean, we've mentioned in the past, we have 200,000 square feet ready to go in Cincinnati. We have, I think, 115,000 square feet ready to go in the new acquisition in Memphis, that portfolio. They're being set up as built to- suits right now. So unless someone comes today and wants us to build them a building at a high-single digit yield, so us -- we're not going to build spec. I don't think you're going to see us build spec in the next couple of quarters.
Eric Borden: Great. Thanks for the time, guys.
Jeff Witherell: All right. Thank you.
Operator: And ladies and gentlemen, in showing no additional questions, we'll conclude today's question-and-answer session, as well as today's conference call. We do thank everyone for joining. You may now disconnect your lines.